Operator: Good morning, ladies and gentlemen, and welcome to The Andersons' 2024 Third Quarter Earnings Conference Call. My name is Joe, and I will be your coordinator for today. At this time all participants are in a listen-only mode. Later we will facilitate a question-and-answer session. [Operator Instructions] Also as a reminder, this conference is being recorded for replay purposes. I will now hand the presentation over to your host for today, Mr. Mike Hoelter, Vice President, Corporate Controller and Investor Relations. Please proceed.
Mike Hoelter: Thanks, Joe. Good morning, everyone, and thank you for joining us for The Andersons third quarter earnings call. We have provided a slide presentation that will enhance today's discussion. If you are viewing this presentation from our webcast, the slides and commentary will be in sync. This webcast is being recorded, and the recording and the supporting slides will be made available on the Investors page of our website at andersonsinc.com shortly. Please direct your attention to the disclosure statement on Slide 2 as well as the disclaimers in the press release related to forward-looking statements. Certain information discussed today constitutes forward-looking statements that reflect the company's current views with respect to future events, financial performance and industry conditions. These forward-looking statements are subject to various risks and uncertainties. Actual results could differ materially as a result of many factors, which are described in the company's reports on file with the SEC. We encourage you to review these factors. This presentation and today's prepared remarks contain non-GAAP financial measures. Reconciliations of the GAAP to non-GAAP measures are included within the appendix of this presentation. On the call with me today are Bill Krueger, President and Chief Executive Officer; and Brian Valentine, Executive Vice President and Chief Financial Officer. After our prepared remarks, we will be happy to take your questions. I will now turn the call over to Bill.
Bill Krueger: Thanks, Mike, and good morning, everyone. Thank you for joining the call to discuss our third quarter results and outlook. Before we get into the results, I'd like to take a moment to thank Pat Bo for his leadership of the Andersons over the past nine years and congratulate him on his retirement as President and CEO. I'd also like to recognize all the Andersons employees for their hard work over this last quarter. I am confident that with this team we'll be able to continue to deliver profitable growth. Now to our third quarter results. We had a good quarter with each of our segments showing year-over-year improvement. Our renewables group had a record third quarter. Harvest conditions have allowed us to wrap up earlier than normal this year and the above trend line yields in our regions produced increased volumes at lower basis values. Results in Trade were up with improved elevation margins and continuing wheat space income in our grain assets. As expected, results in our merchandising business also improved over last year when we took a foreign currency charge. Farmer selling picked up in advance of harvest as they marketed last year's crop. Our grower facing teams were able to service our customers during the – harvest cycle. We continue to increase our efficiency and operating performance in our facilities to meet the needs of both our producers and end users. We continue to be pleased with our operating performance in renewables. We had increased year-over-year production including higher ethanol and corn yields. Ethanol margins were higher than last year with lower corn bases at our plants. Co-products sales were additive to results but lower year-over-year are reduced combined values. We completed all of our fall maintenance during the period. Our Nutrient & Industrial business also showed year-over-year improvement in a seasonally quiet quarter. Higher margins and volume in specialty liquid and manufactured products led the way while our ag business reflects a return to more typical margins. Brian will now cover key financial data. After that I will be back to discuss our outlook.
Brian Valentine: Thanks, Bill. We're now turning to our third quarter results on Slide number 5. In the third quarter of 2024, the company reported net income attributable to The Andersons of $27 million, or $0.80 per diluted share, and adjusted net income of $25 million, or $0.72 per diluted share. This compares to net income of $10 million, or $0.28 per diluted share, and adjusted net income of $5 million, or $0.13 per diluted share, in the third quarter of 2023. Revenues declined due to lower commodity prices while gross profit improved by 12%, a large portion resulting from higher ethanol margins. Adjusted pre-tax earnings were $35 million for the quarter compared to $10 million in 2023 with all segments showing improved results. Adjusted EBITDA for the third quarter of 2024 was a record of $97 million compared to $70 million in 2023. Trailing 12 months, adjusted EBITDA totaled $382 million. Our effective tax rate varies each quarter based primarily on the amount of income or loss attributable to non-controlling interest. This quarter was also impacted by the recognition of certain tax credits. We recorded taxes for the quarter at a 17% effective tax rate. We continue to expect a full year adjusted effective tax rate between 14% and 18%. Next, we'll move to Slide 6 to discuss cash, liquidity and debt. We generated cash flows from operations before changes in working capital of $86 million in the third quarter of 2024, which was up over $36 million from 2023. This continues to demonstrate our ability to generate strong operating cash flows throughout the ag cycle. This strong cash flow generation, combined with continuing lower commodity prices, resulted in a cash position of more than $450 million and negligible short-term borrowings at the end of the quarter. Next, we'll take a look at capital spending and long-term debt on Slide number 7. We continue to take a disciplined responsible approach to capital spending, which we expect could reach $150 million for the year, approximately half representing maintenance capital. Our long-term debt to EBITDA is approximately 1.5x, which is well below our stated target of less than 2.5x. We have a balance sheet with significant capacity to support growth investments that meet our strategic and financial criteria. In late October, we announced an investment in our leased facilities at the Port of Houston of approximately $70 million. In addition, we just announced the acquisition of an ownership interest in Skyland Grain, LLC for $85 million. We continue to evaluate additional projects in our pipeline, including projects to improve efficiency and add capacity at our existing plants, as well as M&A opportunities that align with our growth strategy. Now we'll move on to a review of each of our businesses beginning with Trade on Slide 8. Trade reported third quarter pre-tax income of $26 million and adjusted pre-tax income of $23 million compared to $5 million in the same period of 2023. The improvement in operating results was led by our grain asset footprint as carries have returned to the market primarily in corn and wheat. As expected, farmer engagement ramped up during the quarter to bring significant old crop bushels to the market and to forward sell new crop in anticipation of an early and robust harvest. With the reduction in commodity prices, financing costs supporting inventory and forward contracts have declined. Our merchandising businesses continue to be impacted by an oversupplied grain market with lower commodity prices and less volatility. While we saw an increase in the merchandising results year-over-year, the prior year included a $19 million foreign currency loss. Finally, our specialty ingredients business continues to benefit from recent growth projects. Trade's adjusted EBITDA for the quarter was $38 million compared to $21 million for the third quarter of 2023. Moving to Slide 9. Renewables had a record third quarter generating pre-tax income attributable to the company of $28 million compared to $26 million last year. Ethanol margins remained favorable in the quarter despite lower board crush as corn basis levels in the east were $0.80 lower on average year-over-year. This was in addition to increased volumes and higher yields at our four plants even with the completion of our fall maintenance shutdowns at all plants. Consistent with the second quarter renewable diesel feedstock volumes continued to grow but margins are lower due to overall industry fundamentals. Feed ingredient demand also remains strong but at lower values as prices are tied to corn. Renewables had EBITDA of $65 million in the third quarter compared to $69 million last year. Turning to Slide 10, the Nutrient and Industrial business reported a pre-tax loss of $6 million and improvement from a loss of $8 million in 2023. Group wide volumes improved during this seasonally quiet quarter, but margins in our base nutrients have reset to more normalized levels and were not able to repeat the outsized margin opportunities we’ve seen in recent years. The Engineered Granules business saw significant improvement in the quarter on higher sales volume and margins as we’ve continued to focus on operational improvements. Nutrient and Industrial had EBITDA of $5 million for the quarter compared to $0.5 million in 2023. And with that I will turn things back over to Bill for some comments about our outlook.
Bill Krueger: Thanks Brian. We remain optimistic about our outlook. The Trade business remains solid. As previously mentioned, we are in the final days of harvest and have accumulated significant corn inventory that is higher quality than normal at lower basis values. Space income on our milling quality wheat in our eastern assets is generating higher than expected results. As we noted in our earnings release, we just completed an investment in Skyland Grain, LLC. We are on the ground this week talking to Skyland employees about how we will work together in the future to bring additional value to both Skyland and the Andersons. We are excited about this asset footprint where we have merchandising experience and existing relationships. In addition, this investment doubles the size of our retail farm centers and we expect to bring new opportunities to the growers that Skyland serves. We expect EBITDA contributions from this investment should average $30 million, $40 million per year inclusive of the agronomy business. We also recently announced a lease extension and investment in our export facility located in the port of Houston. This investment of approximately $70 million will improve the efficiency of our grain operations and provide a new opportunity to enter the export markets for soybean meal from the Texas Gulf. We expect this project, when fully operational in 2026, to deliver EBITDA in the range of $15 million to $20 million per year. In our Renewables segment, we expect consistent production volumes in the fourth quarter. While we do not anticipate ethanol board crush to match Q4 of 2023 levels, a favorable margin environment should continue with increased export demand and higher burn rates. With [indiscernible] we believe that basis values in the East will also support solid margins. We remain focused on improving and maintaining our four production facilities for optimal efficiency. Volumes in our renewable diesel feedstock business are expected to increase towards our target of two billion pounds annually. The renewables business is an important part of our long-term growth strategy and we continue to make progress on plans to lower the carbon intensity of our ethanol. This includes investments at our plants and developing regenerative ag programs for our producers that should position us to acquire lower-CI corn as feedstock in the future. The outlook for this business remains positive and we are evaluating several opportunities in this space. The Nutrient and Industrial business outlook is mixed with early harvest and high yields supporting fall applications. We recognize that farmers are facing lower prices against higher costs and farm income in 2024 will be down for most, but we are seeing producers in our region continue their typical fall applications. We remain focused on operational enhancements in manufacturing to improve margins and expect to see continued financial improvements. As previously noted, with the addition of Skyland agronomy business, we expect additional volume-related synergies in our wholesale ag fertilizer and specialty liquids. In February 2023’s earnings call, we updated our EBITDA outlook considering the strong ag markets then current performance and expected nearby opportunities, targeting an EBITDA run rate of $475 million by 2025. Our assumptions then were that global ag supply and demand imbalance and elevated commodity prices would continue into 2025. Furthermore, the speed of the renewable diesel industry buildout was slower than expected and final rulemaking around the Inflation Reduction Act has been delayed. Given these developments, we are now targeting $475 million in run rate EBITDA by the end of 2026, a one year delay from our original target. We are delivering solid cash flows and our balance sheet is well positioned to fund growth. With the Skyland and Houston projects that I have just discussed along with other potential projects in our growth pipeline, we remain excited about the opportunities in front of us. We will continue to make responsible decisions that benefit our customers and maximize shareholder value as we execute our strategy. And with that we are happy to answer your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] At this time we will take our first question, which comes from Ben Klieve with Lake Street Capital Markets. Please go ahead.
Ben Klieve: All right, thanks for taking my questions. Congrats all on a really nice quarter here. And Bill, congratulations on assuming the CEO role. First question, kind of a high level question on the conditions in the third quarter. Brian, you noted that farmers were carrying a lot of grain inventories going into the fall harvest and then with great conditions, a really strong harvest. And I was wondering one, if you can talk about kind of if there’s precedent for this condition in prior years and then also talk about how this condition really – if at all, this condition drove outsized results in Q3 and any kind of impact you see from that environment in Q4 or beyond.
Bill Krueger: Thank you. Good morning, Ben. It is common to see producers carry their old crop longer when you see the markets turnover, kind of like we did in 2024. So, in terms of precedents, it would be difficult to tell you the exact percentage, but we did see a lot of old crop move at the end of or during the third quarter. In terms of answering your other question, farmers selling for new crop that is just being harvested is off to a slow start. So, that gives us a lot of hope and really feel strong with the amount of inventories at the basis values that we have been able to accumulate, that that will continue into the fourth quarter and 2025.
Ben Klieve: Okay, very helpful. Thanks, Bill. On the Skyland acquisition looks to be very accretive on an EBITDA basis. I am wondering, given the challenges that that business had historically, what, if anything, you guys need to do to clean it up, either just kind of from a strategic perspective or if there is any kind of real material investments that need to go into that business here in 2025?
Bill Krueger: Yes, fair question, Ben. The Skyline employees are a really strong group of employees. And that business has been successful since 2004. So, from our perspective, taking the combination of our merchandising experience in that geographic region, adding to it a core competency of our plant nutrients, which we have been focused primarily on the eastern Corn Belt and then just tying in an overall risk management policy like we have at The Andersons, we think that the synergies are going to come together very quickly out of the business. And we’re really looking at forward to dealing with an additional 7,000 producers in the region. And so we feel like just doing business as we’ve been doing it. And quite honestly, like the vast majority of the Skyland employees are used to doing, we think those synergy values are going to accrete to us pretty quickly.
Ben Klieve: Okay. Great. Thank you. And then one other just kind of high level, kind of educational question, you noted that the investments going into the port of Houston facility to take advantage of the soy meal market, that’s not a business that, that you guys have really ever talked too much about. Can you talk about the overall contributions that, that the meal market has in your business overall today? And then given the – and then what really gives you a sense of optimism regarding that, that port and the need to – and the decision to invest there, given the rise of crush facilities domestically, it seems that there’s going to be just an awful lot of meal throughout the space. And wondering what really gives you so much encouragement about that business.
Bill Krueger: You broke up just a little bit there at the end, Ben, but I believe your question was around current expertise of The Andersons in soybean meal. The company today trades soybean meal domestically and obviously with our DDG business, which is a protein. We have both domestic and export arms there. So we feel very comfortable being able to export soybean meal. The purpose of taking the investment and putting it into the port of Houston really is, as we all understand, the U.S. has lost a lot of its wheat export capacity. The elevator at the port of Houston is a good elevator. We need to do some investments to keep it up to our standards. And along with that, we figured that this would be a really good opportunity to take advantage of all the additional capacity of soybean meal that’s coming online both in the last 12 months to 18 months and what will come online in the next 12 months to 18 months. And that’s primarily going to the soybean meal that’s produced in the Western Corn Belt. We all understand the economics of the river and export capacity for soybean meal going downriver, but our target is really the crushing plants that are in the Western Corn Belt that we think we can provide an opportunity to drive some efficiencies in that market.
Ben Klieve: Okay, very good. That’s helpful. There’s plenty more to talk about, but it’s a good place to leave it. Congratulations again on a nice quarter and I’ll get back in queue.
Operator: And our next question will come from Pooran Sharma with Stephens. Please go ahead.
Pooran Sharma: Hey, congrats on the quarter and thanks for taking my question, guys. I was just wondering if maybe we could just talk about some of the – I know you went through some of the strength on the call in ethanol, but if you could kind of just go through the puts and takes to the quarter, maybe just reiterate what you had said. And then also what gives you kind of confidence on the outlook on the go forward? We’ve seen ethanol prices kind of come in on 4Q but we have seen kind of ending stocks low on decent amount of production. So that’s indicating that it’s being taken off domestically and internationally. But if you could just speak to the trade down in ethanol prices in this quarter recently and then your go forward outlook and what gives you confidence in ethanol fundamentals?
Bill Krueger: Okay. Thank you for the question. There’s a – that’s a pretty complex question to just dive in with a single answer. But I will start on the ethanol side of that question. And specifically the increased export demand that we’ve seen in 2024 feels like it’s going to continue into 2025. We’re going to be at or very close to 1.9 billion gallons exported, which is up about from 1.43 billion last year. We also continue to see slightly higher blend rates, which will give us a nice strong lift in the demand side. But the other side of the equation, that is the reduced corn basis levels that we’re able to buy our corn at going into the plants this year. The co-product values as I mentioned, are lower still value add, but they’re lower due to the overall commodity values. So when you take the summary of the ability to run our plants efficiently, which we continue to be impressed with our operating results, you add to that stable to slightly increasing demand and then add on to it that your key input is at a lower value than we’ve seen the last couple years that would be the reason for us being – for us continuing to see the opportunities in the ethanol market.
Brian Valentine: The only thing I would add to that is, you’ve heard us talk about this before. We really like, if we think about that longer-term strategy, we really like the larger plants that are highly efficient, that are well located from a geographic perspective. So some of that is where the end user consumers are. If you think about our plants in the East and also the ability to continue to lower the CI score, the carbon intensity score of those plants. So that’s something that, that continues to make us optimistic about this space is that when you’re operating large scale, highly efficient plants, whereas Bill said, you have a favorable corn draw and then also are close to end consumers and potentially have the ability to lower your CI score. That’s facilities that we believe are going to continue to have the opportunity to win over the long-term.
Pooran Sharma: Okay. No, that, that makes sense. And I can certainly appreciate the corn basis aspect of it as well. I don’t think I was kind of factoring that in, but in light of kind of you talking about – lowering your CI score here and 45Z rolling around the corner, I was wondering if you’re able to talk about if you’re kind of trying to position yourself to capture any carbon credits, and maybe you could speak to how you think the initiative will play out on perhaps your corn oil business or any other benefits that you kind of see as we roll into the New Year.
Bill Krueger: The question around 45Z really is tied to the final rules setting for the Inflation Reduction Act, which I’d mentioned. You asked a really good question, though. We are assuming that the industry is going to continue to be rewarded for low CI ethanol, whether that comes from regenerative ag programs or sequestering carbon or a combination of both. So the answer to your question is yes. We have a focus on both reducing the CI on the corn coming in to our plants and looking at sequestration and utilization projects for our three Eastern plants. The Denison, Iowa plant obviously will be tied to the summit pipeline, as will most plants in Iowa. So we have an approach for all four plants that we’re working on, while also working on the reduction of the corn – the CI for the corn.
Pooran Sharma: Great. Great. And I just had just one more quick question. You guys have had a nice kind of acquisition strategy. You’ve been able to kind of put in a lot of successful businesses into your portfolio. Now, you mentioned on the call, there’s opportunities out there. I was wondering if you were able to share with a bit more detail into any potential opportunities that you may see on the horizon.
Bill Krueger: I would say, we continue to have a really robust and active project pipeline. I would say that it spans a variety of different projects, when you heard us talk today about Houston and Skyland, which fit really, really well with our trade strategy. We also will continue to evaluate and would be interested in acquiring additional ethanol plants. Again, it kind of goes back to that same criteria of what we would look for from a geographic footprint and ability to reduce the carbon intensity score. I think it's fair to say, as we think about opportunities to continue to grow our footprint. Number one, we're going to remain disciplined and stay focused on generating appropriate returns. It's also going to be – continue to be focused on things that are really close to our core businesses. When you think about something like Skyland, it is a very logical natural extension. In many ways, it could be analogous to, albeit on a smaller scale to when the Andersons acquired Lansing, because you have a complementary footprint, a place where we already do some point to point trading and now we're going to have a very logical asset footprint extension into some other areas. Same thing is true with the soybean meal out of Houston. So I would say, it's going to continue to be those things that are close to our core and enable us to generate appropriate returns for shareholders.
Pooran Sharma: Great. Appreciate the color. I will pass it off. Congrats again on the quarter.
Operator: And our next question will come from Craig Irwin with Roth Capital Partners. Please go ahead.
Craig Irwin: Good morning and thanks for taking my questions. So I was hoping you could give us a little bit more of an update on your capital investments, your growth investments that you're making this year in the existing platform. $150 million is a good level of investment. Can you maybe run through some of the details of projects that should be completed over the course of the next year and expected returns around those individual projects?
Brian Valentine: Hi, Craig. Thanks for joining. This is Brian. Sure. I mean, one that will certainly be, I think, well, just to kind of frame it, we've said that we expect our total capital that could reach $150 million this year. We've not talked about a specific target next year yet. But we will certainly have the investment in the Port of Houston that is expected to be a little bit of that could start in the fourth quarter of this year. But that will – the majority of that will all occur during 2025. We also continue to have a number of projects in our ethanol facilities. Some of them are around the ability to extract additional corn oil. There's also things in the space of when we look at things like combined heat and power and also potentially capacity expansion and the ability to either utilize or sequester carbon going forward. I would say, when we think about our nutrient industrial business, there are a number of things and you heard us talk about the improvements in our engineered granules product lines. There's a number of things that we are looking at from an efficiency perspective to automate in those facilities. Some of those are projects that maybe three, four, five years ago didn't necessarily make good economic sense, but now make sense from the standpoint of leveraging automation. If we think about relative returns on these projects, growth projects in particular, I would say, I would think of them in kind of the low double digits to potentially low-teens, depending on the project, some could be a little bit higher, some could also be high single digits. I don't know, Bill, if there's any other color you want to add.
Bill Krueger: I agree. The one area that Brian mentioned earlier on a previous question is, our balance sheet is built for growth today, but we're also going to remain disciplined on deploying that capital.
Craig Irwin: Understood? Understood. So actually, my second question dovetails nicely to that. You guys have been actually very conservative in the way you've deployed capital over the last many years. Most of the time, it's actually worked out in your favor. And a consequence of that is that you're under leveraged today, as you outlined in your prepared remarks, having at least a full turn in debt capacity on existing EBITDA. Can you maybe talk a little bit about your buyback authorization, whether or not their market conditions that could allow you to be more active than the $15 million you bought back over the last few years? And then is there something that might catalyze a more active M&A environment for you guys? You did just complete a material acquisition, but I think there's potentially more capacity to do more. But would this be an environment that that could be achievable or is this something where you're going to patiently look and wait for things that meet your return thresholds?
Brian Valentine: Yes, that's great. This is Brian, that's a great question and a lot to talk about there. I think from a share repurchase perspective, you're right. We do have $100 million share repurchase authorization on the shelf. It is something that I expect us to use from time to time, but we're trying to really balance the approach that we're taking with our overall growth objectives. I think you raise an important point. We have the $475 million EBITDA target out there now by the end of 2026, and we do aspire to utilize the balance sheet if and when it makes sense and we have the ability to generate those appropriate returns for shareholders. One of the things that's been interesting over the past, call it, 12 to 24 months, is that there were a number of deals that we've looked at over the past two to three years where we simply couldn't make the economics work and maybe another buyer was willing to pay an extra turn. And some of those were even larger deals at times. And what we've seen really over the last year or so is more deals coming to market and with interest rates being higher than they were a few years ago, and with the ag cycle dynamics changing a bit, the question remains whether sellers expectations have tempered a little bit. And so we're seeing a lot of activity. And so we're trying to just balance the overall approach. But assuming that we can get the right economics and the deals to work and they fit with us from a strategic perspective, I think it's fair to say we aspire to continue to be active.
Craig Irwin: Okay. And then last question, I guess is a policy question. Do you have any strong views on sustainable aviation fuel and your ability to participate there in the future? It kind of seems that, if we have a Harris administration, hopefully treasury gets its act in gear and gives us clearer language in how people can actually pull down the related credits. And many people believe it's unlikely a Trump administration would pick a renegade from Oklahoma with no biofuels exposure history to run EPA. So we're unlikely to see the damage repeated that he did back in the day. So it's actually a pretty favorable setup for SAF. How do you see the situation? How do you see the Andersons potentially participating over the next few years?
Bill Krueger: Good question, Craig. I would tell you that we feel like with our partnerships in the ethanol space and our continued monitoring of the technology and policy, that if there's an opportunity for the Andersons to participate at whatever level it is, as a supplier, as an investor, we are very focused on SAF. Personally, I think that the window of getting SAF across the finish line for ethanol and jet, obviously HEFA is viable today and continues to develop. We believe that we're in as good a position as anyone to take advantage as the sustainable aviation fuel rules for ethanol to jet unfold. So I don't know if I answered your question, but we do spend a lot of time working on it. Ethanol to jet is behind HEFA or renewable diesel SAF, but we continue to monitor both of those live as they continue to progress.
Craig Irwin: Excellent. I like that. So congratulations on the historic margins, the historic crush, and I'll hop back in the queue.
Operator: [Operator Instructions] Our next question will come from Ben Mayhew with BMO Capital Markets. Please go ahead.
Ben Mayhew: Hey, guys. Congratulations, Bill. My question – my first question has to do with the merchandising environment and I'm just wondering, it sounds like you guys loaded up on some low basis corn. Sounds like elevation margins are pretty solid. So, I mean, what is your general outlook for 2025. It seems like the industry isn't too excited about the lack of volatility. But if there are any, like, if there's any framework you could put around it and the potential catalysts for more bullish action on commodity prices that would be great? And maybe just also like, where are the bright spots on the demand side, both domestically and internationally? Thanks.
Bill Krueger: Thanks, Ben. A lot of questions there in one breath, let's talk about. I'll go kind of in reverse order. Demand – export demand we all can watch how it's kind of ebb and flowed. We're really going to be focused on Brazil's 50% plant [ph] today and how's that crop going to go in? It does feel like we've seen some corn export demand pick up recently, but we really are focused on domestic demand for the most part for The Andersons. And as you well know, domestic demand drives basis, global demand drives your futures price in general. What I do want to be clear is lack of volatility is not a friend of a merchandising business. It is one of the reasons why we've talked for the last several years about the diversification of the portfolio. So three to five years ago we were talking about a lot of asset light opportunities. And then you see our announcement yesterday where we had an opportunity to invest in a substantial grain asset and agronomy business that's taking advantage of what the market dictates, and we're very pleased with the Skyland opportunity. So we want to continue to make sure that we have a diversified portfolio to take advantage of market conditions, i.e., lower volatility, generally drive more carry, generally gives you better return on space. And so we want to continue to develop both sides of that equation. The other item that I think is important that sometimes people don't always think about when talking about merchandising for The Andersons. Roughly 15% to 18% of all the corn that we originate goes into our ethanol plants. nd when you think about that as a backstop, the ethanol plants are a lot like grain assets for many of our businesses. So what we feel like is we need to develop with the asset base and merchandising that we should be in a positive situation going into 2025. But the key is we need to have producing income at higher levels than it is today, volatility is more preferable than what we have today. So it's a little bit more like hitting singles and doubles as we look into 2025 today from the trade center business.
Ben Mayhew: Got it. And then did I hear you earlier say, or Brian say that you would – you would potentially look at acquiring another ethanol plant? I know in the past you've kind of talked about just improving your own assets and you guys clearly run top notch ethanol plants. I guess what given kind of crush margins have come in and they've been volatile – they've always been volatile. But is the market attractive enough right now, valuation wise, where you could add another ethanol plant or is that just something that you're not interested in? And I guess just kind of generally how you think about ethanol crush assets moving forward into the new world of policy that we find ourselves in?
Bill Krueger: Brian was actually the person who made that comment. I agree with him, and we said that the last couple of calls is, yes, we are interested in adding additional ethanol plants to our portfolio. They need to be the right size, in the right location, at the right price. And we've looked at a number of ethanol plants and to date we've not been able to find evaluation that we think is supportive or something that we'd be interested in. The one thing, and I talk about this a lot, is we view the ethanol space as not just the four walls of the plant. We also view it as all the ancillary products, originating corn, selling the DDGs, marketing the ethanol, marketing the DCO. And when you could put that into The Andersons's model, we come up with something that generally returns better than just maybe a standalone plant. So for us, it's a lot more complicated decision, but one that we're very interested in continuing to look at.
Ben Mayhew: Thanks. And just one final question having to do with soy crush, so I think there's a general concern out there right now that new policy is going to disincentivize soybean oil use and biofuels, at least in the U.S. But at the same time soybean meal demand seems to be stronger than ever, both domestically and internationally. Can you just speak to the current environment where we have increasing capacity and the ability for demand to absorb that capacity and what's kind of the breakdown between domestic and international? And I'll leave it there. Thanks, guys.
Bill Krueger: I think a lot of people have been surprised in the last couple, three months with soybean meal price action. But we do believe that meal, at least during the winter months is going to have to go to export parity. And we don't believe that the U.S. is going to be able to grow domestic meal demand at the rate that we're producing or we're increasing crush. So that has been the impetus of our investment in Houston. We think it's a long-term play and we do believe that the U.S. will be an exporter of the excess meal that we're going to produce.
Ben Mayhew: Great. Thanks guys, and congrats on the quarter.
Operator: And this concludes our question-and-answer session. I'll now turn the call back over to Mike Hoelter for any closing remarks.
Mike Hoelter: Thanks, Joe. We want to thank you all for joining us this morning. Our next earnings conference call is scheduled for Wednesday, February 19, 2025 at 8:30 A.M. Eastern Time, when we will review our fourth quarter results. As always, thank you for your interest in The Andersons, and we look forward to speaking with you again soon.